Operator: Good afternoon. At this time, all participants will be in a listen-only mode. Please note this call is being recorded. I would now like to pass the conference over to our host, Tina Mirfarsi, Senior Vice President of Global Communications and Brand. Please go ahead.
Tina Mirfarsi: Hello, everyone, and thank you for joining us for the CarParts.com fourth quarter and fiscal year-end 2024 conference call. Joining me today are David Meniane, Chief Executive Officer, and Ryan Lockwood, Chief Financial Officer. Before I turn it over to David to start the call, I have some important disclosures. The prepared remarks could contain certain forward-looking statements related to the business under the federal securities laws. Actual results may differ materially from those contained in or implied by these forward-looking statements due to risks and uncertainties associated with the business. For a discussion of material risks and other important factors that could affect results, please refer to the CarParts.com annual report on Form 10-K and quarterly reports on Form 10-Q, each as filed with the SEC. Both of which can be found on our Investor Relations website. On the call, both GAAP and non-GAAP financial measures will be discussed. A reconciliation of GAAP to non-GAAP financial measures is provided in the CarParts.com press release issued today. With that, I would now like to turn the call over to David.
David Meniane: Thank you, Tina, and thanks everyone for joining us today. At the outset, let me say that today, we are not going to comment or take questions related to our strategic alternatives process beyond what we announced on March 5th. That process is being overseen by our board of directors with the assistance of financial and legal advisers. 2024 was an important year in the ongoing transformation of CarParts.com. We began the year by refocusing our strategy on three key elements. Number one, driving growth and net margin to strengthen financial performance. Number two, accelerating efficiency and effectiveness to quickly deliver improved profitability. And number three, achieving sustainable growth with strong long-term free cash flow. The economic environment was challenging for lower-income consumers for all of 2024, leading to a significant pullback in spending and deferral of costs like auto repairs. We faced meaningful price compression in the first part of 2024 and saw selling prices stabilize in the second half. Additionally, our lighting and mirror business was under substantial pressure due to low-cost, non-compliant, illegal parts imported from China flooding the market. As a result, we worked diligently to realign our business by expanding our product offering to attract a broader consumer base, repricing our products to target higher margin sales, adding high margin fee income, growing customer lifetime value with our mobile app, and increasing our focus on B2B and other commercial opportunities. These actions led to full-year 2024 revenues of $589 million, slightly below expectations. However, gross profit of $197 million and gross profit margin of 33.4% for the year was near the upper end of guidance. 2024 was a transformation investment year, as we look to upgrade our customer base and change the long-term margin profile and unit economics of the business. We currently rely on selling parts directly to cost-conscious consumers via expenses paid search and have experienced additional margin pressures from rising outbound transportation costs. By focusing on refining our customer mix, optimizing acquisition strategies, and mitigating cost increases, we aim to deliver greater value to our customers and secure sustainable growth for the business. To address these pressures, we are prioritizing several non-paid marketing initiatives such as enhancing our site conversion and strengthening our search engine optimization. Alongside driving mobile app adoption, generating high margin fee income, expanding our product assortment, and growing our wholesale channel. We believe these efforts will position us to increase our net profit margin and drive long-term growth. Before covering our financial results, I want to take a moment and recap what we have built over the last two years. Number one, we have scaled and optimized our vertically integrated supply chain with tightly controlled in-house capabilities including sourcing, inventory forecasting, inbound logistics, trade compliance, fulfillment, and reverse logistics, leading to an attractive product margin in the mid-fifties percent. Number two, we continue to expand our nationwide direct-to-consumer fulfillment network and can cover 98% of the population with two-day shipping. We have a unique ability to handle both conveyable and non-conveyable products with capacity for scale. This includes our recently opened semi-automated facility in Las Vegas, 200,000 square feet of space that is now fully operational and processing 25% of our company's volume. Number three, we continued investing in our fitment-based proprietary catalog that took 20 years to build and serves a full assortment across collision, mechanical, private label, and branded products with the ability to build custom sets and kits. Today, our catalog contains 83,000 private label SKUs, 1.5 million premium branded SKUs, and continues to grow each year. Number four, we continue to be the second largest importer of aftermarket collision parts in the United States and the world's number one seller on eBay Motors. As a reminder, our collision parts are primarily sourced from Taiwan and account for approximately two-thirds of our purchases that are not currently subject to the high tariffs imposed on products made in China. Number five, we continue to optimize our inventory across the fulfillment network which was at $90 million at year-end. As discussed in prior calls, our blended pre-freight product margin exceeds 50%, which makes this inventory significantly more valuable at retail prices, especially in an inflationary environment. Number six, we fully replatformed our CarParts.com website with a best-in-class mobile-first fit-specific user experience which generates 100 million annual visits and serves 10 million customers with new search product recommendations and fee income capabilities. Our best-in-class mobile app with over 800,000 users in less than 18 months now accounts for over 10% of e-commerce revenue and growing while allowing for a long-term change in our paid versus non-paid traffic mix. Number seven, our highly profitable B2B business recently launched same and next-day last-mile delivery in the North Florida market with a contribution margin up to three times higher than e-commerce. Served by real-time integrations with shop management and estimating systems. Number eight, we have launched high margin fee income offerings which include shipping and product protections, affiliate revenue, and a premium paid membership and roadside assistance with over 3,000 paying members and growing. Over time, we expect this part of our business to help raise our net profit margins. Number nine, we continue to leverage our two exceptional trademarks in CarParts.com and JC Whitney, which allows us to differentiate our private label offering over time. While 2024 presented its share of challenges, we made significant progress in key areas that position us well for future growth. I'll now turn it over to Ryan to review our financial results.
Ryan Lockwood: Thank you, David. In the fourth quarter, we reported revenues of $133.5 million, down 15% from $156.4 million last year. For the full year, we generated $588.8 million in revenues, down 13% from $675.7 million in 2023, with 2023 representing our highest revenue number ever in customer history. The decline was primarily driven by increased pricing combined with the impact of soft consumer demand as well as significant pressures in lighting and mirrors. Gross profit for the quarter was $43.4 million, down 16% compared to the prior year. Gross margin was 32.5%, down slightly from 33% in the prior year period. For the full year, gross profit was within our expected range at $196.7 million, down 14% compared to the prior year. Gross margin was 33.4% from 33.9% in 2023. The decline in gross margin was primarily driven by increased outbound transportation costs despite some offset from higher pre-freight gross margin. GAAP net loss for the quarter was $15.4 million compared to a loss of $6.1 million in the prior year period. For the year, GAAP net loss was $40.6 million compared to a loss of $8.2 million in 2023, primarily driven by lower gross profit. For the fourth quarter, adjusted EBITDA loss was $6.8 million, down from adjusted EBITDA of $1 million in the prior year period, primarily due to soft consumer demand, price compression, and increased competitive pressure in performance marketing. For the full year, adjusted EBITDA loss of $7.1 million was down from $19.7 million in 2023, primarily impacted by our fourth quarter results. In 2024, we incurred $6.4 million of elevated expenses outside of our normal operations, which we do not expect to reoccur in 2025, including overlapping software expenses related to our digital transformation and one-time costs related to the move of our Las Vegas facility. As David mentioned, we are focused on harvesting return on these strategic investments over the next few years. Turning to the balance sheet, we ended the year with $36.4 million of cash and no revolver debt. We generated $0.3 million of interest income in the fourth quarter and $1.5 million for the full year. Our inventory balance was $90.4 million at year-end versus $128.9 million at the end of 2023. Our cash position and untapped revolver continue to provide the necessary liquidity to support our business plan. As David mentioned above, our company is currently evaluating various strategic alternatives in response to inbound interest. As a result, we are not providing guidance for 2025. I'll now turn it back over to David for final remarks.
David Meniane: Thank you, Ryan. Looking ahead, we are confident that the strong foundation and improvements across our business secured throughout 2024 have set us on a path to achieve long-term sustainable positive adjusted EBITDA. Our priorities in 2025 include one, continue to expand our product offering, attract new customers, and increase average basket size. Number two, monetize our 100 million annual website visits and customer list with high margin fee income. Number three, scale our B2B offering with lots of transportation and higher touch sales in key markets. Number four, grow our mobile app business to diversify our marketing mix and deliver greater customer lifetime value. And number five, maintain a strong balance sheet with a focus on managing cash flow and inventory levels. We are committed to maximizing long-term shareholder value as we focus on capturing the growing opportunity in front of us within the highly fragmented and underserved $400 billion auto parts market. I would like to thank our global team for their resilience, hard work, and commitment as we continue to transform our business. Thank you everyone for joining today's call. We'll now turn it back over to the operator.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.